Operator: Thank you for standing by and welcome to the World Fuel Services First Quarter 2023 Earnings Conference Call. My name is Gigi, and I'll be coordinating the call this evening. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel’s Vice President, Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Gigi. Good evening, everyone, and welcome to the World Fuel Services first quarter 2023 earnings conference call, which will be presented alongside our live slide presentation. Today's presentation is also available via webcast. To access this webcast or future webcasts, please visit the World Fuel Services corporation website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel Safe Harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance. Our forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found in World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly released the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in regulation G. a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release, and can be found on its website. We'll begin with several minutes of prepared remarks which will then be followed by a question-and-answer period. As with prior conference calls, we have members of the media and individual private investors on the line participate in listen only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn. Good afternoon, everyone. We appreciate you joining us today. The first quarter of 2023 saw a continuation of the many trends that made last year a successful one for our business. Our aviation business benefited from increased international airline passenger demand, as many parts of the world were still experiencing pandemic related travel restrictions, which did not fully ease into the latter part of the year. Aviation has also benefited from the inventory risk mitigation efforts we implemented in response to the extreme price volatility experienced in 2022, which negatively impacted our aviation results to the first half of last year. We experienced continued growth of our diversified business in general aviation offerings, including products and services ancillary to our core fuel supply, such as trip support services and de-icing fluid, which also contributed meaningfully to the year-over-year increase in aviation profitability. Many of the services and digital offerings we provide to these customers form integral parts of a broader aviation ecosystem that connects us intimately with our customer base. This connectivity has proven to be more resilient to short-term economic weakness than traditional fuel sales, which is why our investment in an expansion of these lines of business over the past several years has been a primary strategic focus. Looking forward this is a key underpinning of our digital growth strategy. We believe that by expanding our portfolio of digital offerings across all of our businesses, we can not only engage more deeply with our customers, but also improve the readability of our revenue sources and reduce the capital intensity of our offerings to deliver enhanced returns. We are also focused on implementing advanced technologies to integrate our processes and make us easier to do business with further enabling us to be the counterparty of choice in the markets we serve. On previous calls, I've emphasized our efforts over the last several years to sharpen our portfolio and maximize returns, which resulted in the reorganization of our marine business. These actions have positioned our business to be able to weather the inevitable cyclicality of the global shipping industry through a lower cost structure that enables us to generate respectable financial returns in down markets, while preserving the ability to provide value in volatile and credit constrained markets, especially when demand strengthens. While the high fuel prices witness throughout much of 2022 began to ease the first quarter of 2023 submarine visitors nevertheless benefited from the elevated interest rate environment and continued fuel price volatility, which together with our prudent allocation of working capital enabled marine to again deliver outstanding financial performance during the quarter. Both our aviation marine businesses have benefited from our ability to leverage our strength and stability as a preferred reliable counterparty to support our customers fuel and financial requirements amidst an increasingly constrained and costly credit environment, and a continued period of heightened supply and logistical uncertainly. While a land fuels business was liquid land fuel business was impacted by extreme weather in North America, our gas power and sustainability businesses performed well. Our liquid land and world connect sustainability businesses are following the common operating model we have in aviation and marine and we are now enhancing our products and services, realigning teams hiring top talent where needed and leveraging our digital capabilities to build that a similar solutions ecosystem. I continue to be optimistic about our liquid land, gas power and sustainability businesses becoming a larger and very complementary contributor to our overall business. In closing, while we continue to focus on driving growth and efficiencies in our conventional fuels business activities, which remain critical to our success for years to come, we recognize the evolving needs of our customers the growing global demand for sustainable solutions. We therefore continue to focus on building our lower carbon fuel offerings, as well as a growing suite of other sustainability related products and services, where you're continuing to build a business that not only thrives in the present, but also paves the way for an even brighter future. All of our successes to date are due to the collective efforts of every individual in our organization. And these are the same individuals who will lead us to a greener tomorrow in more ways than one. Thank you for your continued support. I'll now turn the call over to Ira for a review of our financial results.
Ira Birns: Thank you, Michael. And good evening, everyone. Before I walked through our first quarter results, please note that while there were no adjustments to GAAP results in this year's first quarter, that's correct can no adjustments that comparative prior year numbers do exclude the impact of non-operational items, principally acquisition related expenses and integration costs, all highlighted in our earnings release. To assist you in reconciling the results published in earnings release. The breakdown of last year last year is not operational items can be found on our website on the last slide of today's webcast presentation. Now let's continue with the financial highlights. Consolidated revenue for the first quarter was $12.5 billion. That's up 1% compared to the first quarter of last year. Consolidated volume for the first quarter was 4.5 billion gallons and gallon equivalents, effectively flat with the prior year. I'll talk a bit more about gallon equivalents shortly. Adjusted EBITDA for the first quarter was at $87 million that's an increase of $12 million, or 16%, compared to the first quarter of last year. Adjusted first quarter net income and earnings per share with $23 million and $0.36 per share, respectively. That's a decline of $4 million or $0.06 per share, compared to the first quarter of 2022. First quarter volume and our aviation segment was 1.8 billion gallons. That's an increase of 7% compared to the first quarter of 2022. The volume increase in the first quarter was principally driven by a further year-over-year increase in commercial passenger activity. Looking forward and considering the significantly higher interest rate environment we are placing an even greater emphasis on generating commensurate returns, which may temper volume growth over the next few quarters. However, we remain confident in our opportunities to drive profitability in aviation over the balance of the year. Our land segment volume was 1.6 billion gallons or gallon equivalents in the first quarter. That's a slight decline of 1% compared to the first quarter of last year. As a reminder, this gallon equivalent amount comprises liquid fuel activity, as well as a growing contribution from natural gas and power volume, which represented approximately 1/3 of the aggregate land volume reported for the first quarter. While volume in our North American liquid fuel business was negatively impacted by adverse weather during the quarter, including two record atmospheric rivers, which drenched parts of flyers territory on the West Coast, we were pleased to see natural gas activity offset this decline, which benefited from increased demand and a growing customer base. And lastly, volume and our marine segment for the first quarter was 4.3 million metric tons. That's a 9% decrease year-over-year, driven principally by a softening container market. Consolidated gross profit for the first quarter was $263 million. That's an increase of $32 million, or 14% year-over-year. Our aviation segment contributed $101 million of gross profit in the first quarter, an increase of $36 million, or 57% compared to last year's first quarter results, when as you recall, we were negatively impacted by the backward at jet fuel market that commenced in a significant way in the latter half of last year's first quarter. We also have benefited from strong growth in our business and general aviation activities. As we look ahead to the second quarter, we anticipate a significant seasonal increase in aviation gross profit with year-over-year results expected to be up even more significantly, when compared to the backwardation impacted second quarter of 2022. Our land segment delivered gross profit of $110 million in the first quarter. That's a decrease of $10 million, or 8% year-over-year. As already mentioned extreme weather events during the first quarter resulted in both volume and gross profit declines in our core liquid fuel activities in North America. Reduced volatility and somewhat warmer weather also negatively impacted the year-over-year comparison of our U.K. land results and partially offsetting these declines were strong increases in profitability in our Connect natural gas power and sustainability related offerings. For the second quarter, we anticipate land gross profit to be flat sequentially, but down from the second quarter of 2022 when our U.K. operations continue to benefit from significant market volatility. The Marine segment generated first quarter gross profit of $52 million. That's an 11% increase when compared to the first quarter of last year. While bunker fuel prices have declined, marine benefited from a significantly higher interest rate and credit constrained credit environment in the first quarter. As we look ahead to the second quarter, margins are expected to remain well ahead of historical averages. However, gross profit is expected to decline sequentially driven principally by flattening prices and reduce market volatility. Consolidated operating expenses were $198 million in the first quarter below the low end of the guidance provided on last quarters call. Looking ahead to the second quarter, we expect operating expenses will be in the range of $204 million to $208 million. The anticipated sequential increase principally relates to increased variable compensation related to the expectation that was significantly higher, consolidated results in the second quarter. I already mentioned our first quarter adjusted EBITDA earlier, but our year-over-year adjusted trailing 12-month EBITDA was also up significantly increasing 56% year-over-year to $392 million, our highest level of trailing 12-month EBITDA since the first quarter of 2020. This year the increase is inclusive of the benefit of the flyers acquisition completed to start the year in 2022. Interest expense for the first quarter was $34 million in line with our guidance on last quarters call, but up $20 million from last year's first quarter when interest rates were still materially lower. Fees associated with our receivable sales activity, again comprised approximately 40% of our total interest costs in the first quarter. We expect our consolidated interest expense for the second quarter to be flat to modestly down sequentially, and we remain focused on opportunities to reduce our current run rate of interest expense. Our adjusted effective tax rate for the first quarter was 16% compared to 20% for the first quarter and full year in 2022. As I mentioned our last quarters call, we believe our 2023 full year tax rate will remain generally consistent with 2022. However, our quarterly rates may vary as evidenced by the lower rate in this year's first quarter. During the first quarter, we generated positive operating cash flow of $143 million driven by lower fuel prices and solid focus on and management of all components of working capital including accounts receivable inventory, and accounts payable. While not the easy to repeat the strong results in the second quarter with average fuel prices already up 67% from the first quarter, we remain focused on delivering solid cash flow for the full year, contributing to overall liquidity and returns. And our liquidity profile remains strong with significant availability under our revolving credit facility. This positions us well to pursue growth opportunities while maintaining very important financial flexibility. So despite it being a seasonally weak quarter for us in the first quarter, we delivered solid overall results. Aviation delivered very strong performance what is in what is traditionally the weakest quarter for air travel, or land liquid fuels activity in North America was impacted by extreme weather on natural gas and power businesses continued to perform well. Marine continued to outperform historical averages with very strong operating margins. And we are now entering our seasonally strongest second and third quarters and remain optimistic about our opportunities to deliver strong results for the full year. On the corporate development side of the house, we have expanded our team are busy analyzing a growing pipeline of synergistic conventional fuel opportunities, as well as a growing number of opportunities to complement our existing suite of sustainability solutions in world connect. And our focus on operating margin improvement continues. I frequently remind our team how many gallons of fuel we need to sell to cover each and every expense we incur so that every member of our organization thinks critically about how each activity and costs contributes to our overall financial performance. We are scrutinizing every aspect of our business to identify areas to eliminate waste, and drive greater process efficiencies. And we therefore remain confident in our ability to achieve or even surpass our longer term articulated goals for operating margin improvement. And finally, we remain confident in our ability to continue to navigate challenges and capitalize on opportunities. Our strong balance sheet combined with our continuing commitment to profitable growth positions as well for continued success. And we remain steadfast in our commitment to delivering value to our shareholders, customers, and employees. Thank you, I will now turn the call back over to our wonderful operator Gigi for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ken Hoexter from Bank of America.
Ken Hoexter: Hey, Greg, good afternoon. Ira. Michael. Glen. So just a couple of from me on let's start on land. I guess Ira you talked about the harsh weather? Are you back up and running? Should we look at kind of the run rate they're getting back to normal, obviously, typically, middle of the year tends to be stronger, some years weaker and others with the U.K., I guess balanced out now with your acquisition seems like the middle of year should get stronger. So maybe just talk us through how you think about lands going forward.
Michael Kasbar: With flyers in the mix, that obviously the weather conditions have improved, that that happens, during bleeding months of February and March in, in that business, and we generally see seasonal strength as we get into the second and third quarter. And we, we think that'll be that will generally be the case again, at the same time. The strongest periods for the U.K. business are the fourth quarter in the first quarter. So we generally see a drop off obviously, the heating oil business drops off dramatically in Q2. So you have some you have some pluses and minuses, but nothing extraordinary or, or out of the ordinary in the second quarter compared to historical trends.
Ken Hoexter: Okay. By the way, I just wanted to say before I get started, congrats on so many things I wrote but not just the fact that there's no adjustments but now that jets have gotten bred for version two of Aaron Rodgers should be a good year. The interest expense. Can you kind of dig into what you were talking about there? Obviously, we just looked at on a trade-off but you've got a 17% rate just on your debt, but you're talking about throwing in there you've got the accounts receivable thrown in there, but you were talking about maybe holding this despite debt coming down, that your level, your interest expense should be flat. So maybe walk us through what's what's in the makeup there?
Michael Kasbar: Remember, over the first few months of the year, interest rates were rising, they hopefully have that that's hopefully stopped, except for maybe another 25 basis points next month. So that's where the flat comes from, we do not have a 17% rate on our debt. That's the reason that I've been sharing the percentage of the interest related to the receivable sales, our average rate on debt is just under 7%. So working like we're working with that number is still obviously a lot higher than where it was when interest rates were at historical lows. But as evidenced by this quarter, we're working really hard to drive, cash flow, as best we can and bring down our trade cycle, which, which, should help us reduce interest expense a bit going forward, it's a little easier if rates don't keep going up. But for the moment, our run rate is what our run rate is. So we'll probably be a little bit lighter in Q2, and then hopefully come down a little bit more in the second half of the year, as I mentioned, last quarter.
Ken Hoexter: Okay. My last one, and I'll turn it over to Ben is just on the on your OpEx target, right, you're 204 million to 208 million in next quarter. Can you walk us through is that now your kind of run rate? If we're looking out from there, is there, obviously if you're jumping up, is there something that's running it up and maybe just talked about? What's in it and how we think about it going forward?
Michael Kasbar: It's a great question, Ken, thanks. Look, there are certain elements of variability in our expenses on a quarterly basis that are tied to the level of profitability. One of those, the example that I shared in my prepared remarks is variable compensation so that, that's not spread like peanut butter over the course of the year, it's more directly correlated with the profit contribution by quarter. So we generally will see a bump in expenses, assuming everything else was constant in Q2, that number will probably be a little bit higher in Q3, which is expected to be an even stronger quarter, and then should come down a bit in Q4. So very consistent with the, with the trend of our results on a quarterly basis, the way that you have them modeled out.
Ken Hoexter: Perfect. Thank you so much. Have a great FM [Ph]. Appreciate the time.
Michael Kasbar: Thanks. Good. Yes.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Ben Nolan from Stifel.
Ben Nolan: Thank you, Gigi. By the way, let me start off by just mentioning that I really the tweaks that you guys did do the presentation and your remarks, I mean, are very, very helpful. So, so good job on that. And I appreciate it. The My first question is related to, conceptually, the margins, and you talked a little bit about this Ira, but pushing for higher margins in the aviation business, it looks like that has been pretty well done or executed in the marine side. But maybe a little bit less so on the land and on the aviation side, and just trying to understand if there's something structural, because, your cost of business has gone up with interest rates, and it would seem like you should be able to pass that through to your customers. Is there something that sort of inhibits your ability to do that in a few those categories?
Michael Kasbar: Sure, great and important question. So I'll try to, I'll try to be as clear as possible in my response. If you start with marine, of course, we all know we had a phenomenal year next year, which was impacted by a couple of things, honestly, one was tremendous amount of volatility, record prices, but also rising interest rates, and we're able to address that head on and more immediately in marine because as we've said, over and over again over the years is Marine is generally a spot business. So when I am I'm not doing it personally, but when we're quoting a customer, we can react to market conditions every day, every hour of the day. And of course, if interest rates are moving up, we can factor that into our thinking in our in our in our return hurdle rates etcetera on a very regular basis. In aviation, in a large part of aviation, commercial passenger cargo, etcetera most of that activity, very large percentage of that activity is under annual contract, a very large percentage of those annual contracts roll over on the first of July. Some of them in Europe are enrolling over this quarter, but a very large percentage rollover in July. So over the course of July 1, 2022, to June 30, of 2023, the margin is what the margin is right. As, as those contracts come due, and this higher interest rate environment, being focused, as we always are on returns, we're obviously, hyper focus on making sure that those returns don't deteriorate. And actually, we hopefully catch up a bit, as we're able to price the, the current interest rate into our return criteria and tried to drive higher markets. One of the reasons I mentioned on in my remarks, that volume may be tempered a little bit where we can't do that, in some cases, we may forego some volume upon renewal. And there's also the other lever is terms, right. It may not always be achieved by getting a higher cent per gallon number in a customer engagement, but that number can stay the same in some circumstances. And, and we may have tighter terms and therefore have a positive contribution to the interest line. So we can mix and match that way. So it's all about, increased acceptable level of returns in this interest rate environment. So, we've, we've, we've certainly raised the bar there, as rates have gone up. Land is a bit more of a mixed bag. Land, you've got some spot business, where, many parts of flyers are spot, we have seen our core margin per gallon and land, 2022 was higher than 2021. And first quarter of 2023 was higher than 2022. So we are in parts of that business able to achieve a higher margin. There's a part of that business, which is the retail gas station distribution, much of that is over contracts that spanned many, many years where we don't have the ability to go in and, and reprice on a on a regular basis, that that's a business where the way that we achieve the return that we need is higher environment has to be achieved by driving greater operating efficiencies. Right. So there are different levers for different parts of the business. But overall, we've clearly, we clearly gotten the the offset in marine, we have a chance to get some higher margins in aviation the second half of the year. And then obviously, same to same goes for most of the land business except for that retail segment.
Ben Nolan: Okay, that helps. It does that. That's a good, excellent explanation. I appreciate it. I had just a couple more. I wanted to circle back real quick on the on the tax side, what did you say was the annualized tax rate that you were expecting?
Ira Birns: Same as last year, I think, we're, we were lower this quarter, will probably be a little a little bit higher than the annual for the balance that year, but it should, it should annualize out to the same 20% or so maybe 21% compared to last year, where we were we were actually also at 20%.
Ben Nolan: Okay, and any sense as to how you said that first quarter was low, and sense with respect to second quarter, if there's any nuance that would move in one direction or the other?
Michael Kasbar: If I had to guess it will be a little over 20. But it's more likely to be a little over 20 than 100 in the second quarter.
Ben Nolan: Okay. And then, as it relates to the aviation business, appreciating the whole pricing dynamic us talked about, but I know typically the peak season for that is in the second third quarter is you have a lot of vacation travel in Europe and that sort of thing. What's your sort of you -- or what are you hearing from your customers about how the, what they're expecting for fuel demand aviation, on the aviation side over the next two quarters?
Michael Kasbar: Look, I think in many markets, we, we've seen, pretty much the full recovery from pre pandemic, but despite all, maybe I'm providing a personal view here. All the fears of recession and conversations around that, I think a lot of people, including myself are still getting on planes very regularly and I think the summer travel season in Europe, which was very strong last year is expected to be strong this year. So I think the volume story is still pretty good, the acceleration is not going to be near what it was the last five or six quarters, rebounding from the pandemic. But I think just kind of core macro volume opportunities, most particularly in North America and Europe, are still strong, we're seeing a little bit of softening on the business and general aviation side that had a big boost during the pandemic, when those that could afford it, prefer to travel private, to avoid masking up, etcetera. But obviously, that's waned, and many of those types of customers have reverted back to commercial travel. So, on the commercial side, I think strong on the on the business and general aviation side, maybe a little bit weaker, but that's a lower volume number. So, I'd say, reasonably strong our results may be a bit different than that, again, if certain business doesn't meet, our return criteria. We're, we're willing to give up a little volume for the sake of driving, “profitable growth”.
Ben Nolan: Okay. And then lastly, for me. I appreciate you bearing with me here. But I was curious on capital allocation, you have been reducing the leverage, which makes sense in a higher interest rate environment. There hasn't been much in the way of buybacks lately, which, as you move forward to generating pretty good levels of free cash flow is sort of what's the best home for that cash flow from here?
Michael Kasbar: Yes, always, always a tough question. In this interest rate environment, maybe I'm making a political statement buybacks aren't as accretive as they were when rates were zero. And I think we generally prefer to allocate a, a great percentage of our capital to driving, driving our core business. I mentioned, our core team growing, we actually now have someone specifically focused on the sustainability related side of our business. So this is a huge pipeline of inorganic opportunities. We want to keep our powder dry for that. And then, of course, there's the dividend, right. So, we always consider buybacks. We've been pretty consistent over the last few years, that's not necessarily a message about this year in terms of, buying back enough shares to cover the diluted impact of employee equity awards. So we know we'll continue to consider that but no, no meaningful promises for what we may throw into that bucket in 2023.
Ben Nolan: Understand, appreciate it again. I do do like the tweaks that you guys have made very helpful.
Michael Kasbar: Thanks, Ben. I appreciate the comments.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Pavel Molchanov from Raymond James.
Pavel Molchanov: Thanks for taking the question. Pleasure to be on your call for the first time. Can we get an update on World Connect please?
Michael Kasbar: So World Connect is a business we started our journey a long time ago by investing in a business that had sophistication in the natural gas business in the U.S., and that was in 2012. And we, we acquired a number of companies. The most notable one was Bergen Energy in 2015, which handles a lot of power business and renewable energy certificates. GIOS is in the renewable energy solutions business does a great job in Europe. And we're expanding that now in the U.S. with de novo operations in Asia and Latin America. So we're using our global platform to continue to follow our land base customers with any number of different services on site solar offsets, energy efficiency, carbon footprint reporting. So it's continuing to grow. We've been adding tremendous amount of talent to that part of the business. As Ira commented, we've got a pipeline of targets there. Presently, we've been growing that organically, but and then also investing in future fuels, putting a little bit of money, but a reasonable amount of time, again, following our customers and looking to make sure that we're a fast follower on those emerging future fuels. But most notably, focusing on site solar renewable energy solutions within those two sustainability businesses, we've developed their natural gas business in the U.S. And that's been growing materially, in the last several years in our power business. So I think it's, it's probably a good opportunity to talk about what we're doing there. So we're a physical power supplier in the Nordics and Netherlands, working in the B2B market. So we sit between the grid and the consumers of electricity, and we're providing scheduling, balancing forecasting services, and we handle some of their risk management. And then we're acting more and more as an off taker for power producers, wind farms, and others where we're buying their daily production, production, and selling back to the grid. So that's what we're doing most notably in Europe on power. On the natural gas side, it's offering natural gas supply, dealing with the risk management in the B2B side, again, scheduling, balancing forecasting, ensuring logistics around the product, and then some financial optimization we'll do on our own account. So that that was the, the commodity side of it. And, we continue to develop that and sourcing demand in Asia, Latin America. So it's an important part of the business. It's growing at a pretty good clip, we'd like to continue to supersize that a bit more. So that's, that's basically World Connect on our sustainability have probably forgot a couple of things. Ira, anything you want to add?
Ira Birns: So just to try to frame that in numbers a little bit up Pavel, as Mike said, it's it's been growing. It's so in the first quarter, about 25% of lands gross profit related to the nat gas and power activity and the sustainability and advisory services. So that's, that's grown, it's still a relatively small number from a consolidated or consolidated standpoint, but it's grown significantly from where it was just a short time ago. So it's, it's moving forward on a on a pretty steady clip. And dropping more to the bottom line as well. And that's an area where we'll continue to invest.
Pavel Molchanov: Appreciate all that detail. Let me zoom in on kind of an emerging market angle of your, I suppose. All three businesses, but perhaps most notably, in aviation, a lot of the currencies I'm thinking are Argentinian peso, Lira are literally all time lows against the dollar right now. To what extent is that hurting demand for importing feel in those markets?
Michael Kasbar: [Indiscernible] a fake it answer here. Yes. Listen, I -- it's not something that I'm aware of as being a topic. Certainly not anything that's been brought up in any of our sort of meetings. So, but I read you have maybe you've got a little bit of color on that.
Ira Birns: And I'd say, I'm not sure exactly what the full angle there Pavel is, but most of our activity around the world on the fuel side, regardless of jurisdiction, and we're talking about a lot of jurisdictions, right, because we're selling fuel in over 200 countries and territories around the world is U.S. dollar base. So, that the FX side of the equation may have some indirect impacts, but we're buying and selling in U.S. dollars, almost everywhere. We do have some foreign currency denominated activity. But on the fuel side, it's mostly you USD.
Michael Kasbar: But I think, as you see and obviously, Russia and what's going on in terms of just different markets. I'm sure there's, any number of activity there. But that's not it's not something that we're zeroed in on, or it's not anything that is mainstream for us that I know of.
Pavel Molchanov: Okay, clear enough. Thank you, guys.
Michael Kasbar: Thanks for dialing Pavel. I appreciate it.
Operator: Thank you. Mr. Kasbar, there are no further questions at this time. I will now turn the call back to you for closing remarks.
Michael Kasbar: Well, this is not necessarily closing remark. In terms of our land business you asked the question earlier, and, so off to, a bit of a bit of a storm with weather, but it's a well-run business, the flyers team is great addition. We've brought on some additional talent, and I'm really just emphasizing, the comments that I had, in my prepared statements. So feel strongly about the fact that we're modeling those offers and the business and the processes against our well run marine and aviation business. So while it's not an exact sort of overlay, there is a lot of commonality that we're going to leverage off of our, marine and aviation organizational design. At the end of the day, we're moving molecules. We're dealing with the logistics where the customers coming to us and our card locks, we're going to the customer and wholesale or business to their retail stations. So that business is taken a long time to be the fourth and fifth leg of the stool, but I'm optimistic that it will be. And we'll be reporting back to you, on a quarter by quarter basis. So I just wanted to sort of emphasize that, obviously, we can't control the weather, but that business will start to produce some. Any case thanks very much. Appreciate you spending your time with us. And I look forward to talking with you next quarter. And thanks to the fantastic team that we have. It's a pleasure working with you every day. Thanks to our shareholders. Thanks very much. Take care.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.